Bisera Grubesic: Good morning, ladies and gentlemen, and welcome to TeamViewer's Q4 and Full Year '25 Earnings Call. I am Bisera Grubesic, Head of IR. Today, I am joined by our CEO, Oliver Steil; CFO, Michael Wilkens; and CRO, Mark Banfield. Oliver and Mark will run you through the quarterly business update. Michael will present Q4 and financial -- and full year financials, followed by the full year guidance and midterm targets. The presentation will be concluded by a Q&A session. Same as in the previous quarters, we will present non-IFRS pro forma top line and adjusted EBITDA performance. And also, please note that you can find the important notice and the APM disclosure on Slides 2 and 3. And I now hand it over to Oliver to kick off.
Oliver Steil: Thank you, Bisera. Good morning, everyone. Also welcome from my side. Thank you for joining our call today. As the last year was clearly a year of transition after the 1E acquisition, I would like to start differently this time and give you some broader context before we dive into the results. When we look back at the year 2025, we see a lot of progress and proof that we are on the right track. But of course, there were also some challenges that require our full focus and which we continue to address in 2026 as we are firmly committed to reaccelerate top line growth. 2025 was again marked by macroeconomic difficulties and geopolitical tensions, which affected customer decision-making and made it more challenging for us to execute and operate as initially planned. And as you know, AI was one of the defining forces in 2025. At TeamViewer, we clearly view AI as a significant opportunity to drive platform growth. We progressed significantly with embedding AI into the core of our product to improve our offering. Our webinar for the Capital Markets last year November made it clear how we and our customers will benefit from AI. We are unique as we are the only company within our industry that can deliver what we do. This is based on our technology and proprietary data and the combination of TeamViewer and 1E product capabilities, which I will elaborate on later. While our Enterprise business continued to grow, we were disappointed with the SMB business as growth was slowing down. We needed to course-correct our approach regarding SMB customers and decided to suspend all short-term monetization activities like free-to-paid campaigns and pure price up to revitalize the ecosystem of noncommercial users and smaller SMB customers who are very price sensitive. Also, the 1E business performed below our expectations as integration work temporarily slowed momentum and some key talent left. With the new global sales and customer success setup under Mark's leadership, we are now focused on customer retention and rebuilding a strong pipeline, and we are already seeing early strategic wins. 2025 was clearly a pivotal year for TeamViewer. We integrated TeamViewer and 1E capabilities, invested heavily in R&D and sales and go-to-market. We launched several new products during the year. The first one, DEX Essentials, is an easy-to-implement DEX version for smaller IT teams. It was built in record time after the 1E acquisition and represents a stepping stone to our most important new product, TeamViewer ONE, our all-in digital workplace management platform, unifying DEX, AI-based remote support and RMM to create a new differentiated offering for companies of all sizes. We could see that our efforts paid off already in Q4 with a strong traction of TeamViewer ONE, highly strategic customer wins in DEX and Frontline as well as an overall continued strong TeamViewer Enterprise momentum. Let me now talk you through our full year results. We closed the year with 5% pro forma revenue growth in constant currency year-over-year. ARR grew 2% in constant currency and TeamViewer stand-alone Enterprise business was 19% up in constant currency and therefore, the main growth driver. New ARR from TeamViewer stand-alone even doubled year-over-year. The Enterprise business overall showed strength in Q4 with highly strategic wins in DEX and Frontline. At the same time, we were able to deleverage as expected and improved our net leverage ratio to 2.6x. Our profitability remained high, and we closed 2025 with a pro forma adjusted EBITDA margin slightly above 44%. 2026 will clearly be another transformational year for us. I will elaborate later more on what that means and which priority areas we will be focusing on. Let's now take a look at the regions and customer categories and how we have developed during the year. Revenue grew in constant currency across all regions in 2025. EMEA was our strongest region, contributing slightly above 50% to our revenue. The region delivered EUR 402 million in revenue, up 6% year-over-year. In the Americas, revenue reached EUR 292 million, up 3% in constant currency despite an ongoing difficult market environment in the U.S. Especially towards the end of Q4, the U.S. team brought in a few very important strategic deals, which I will show in a few minutes. APAC delivered EUR 73 million in revenue, up 4% in constant currency, driven by a good Enterprise performance. We were especially happy about a few DEX, Enterprise deals in the region. This is noteworthy as 1E didn't have any business in APAC, but TeamViewer was able to bring DEX to the region due to our dedicated APAC go-to-market efforts. Looking at our customer categories, Enterprise continued to demonstrate strength. Revenue as well as ARR grew by 11% year-over-year in constant currency. With this, the Enterprise business now contributes more than 30% to our business. In SMB, revenue grew by 2% in constant currency, while SMB ARR was down minus 1% in constant currency. As already explained, we were not satisfied with the SMB performance in 2025 and already took measures to course correct. Let us now look at the respective ARR value ranges in Enterprise and SMB. In Enterprise, all value ranges delivered double-digit growth, reflecting the enterprise momentum we saw throughout the year and especially in Q4. Notably, also the highest value range of above EUR 200,000 picked up again with the strategic DEX and Frontline wins in the quarter. In SMB, the highest value range grew by 3% year-over-year. The lower value ranges were down mid-single digits. This reflects successful upselling into richer product packages within SMB on the one hand, but also the price sensitivity of smaller customers that I already talked about. As usual, we saw net upsell from SMB to Enterprise of EUR 12 million reported, which demonstrates the effectiveness of our sales strategy to move customers up to higher value ranges. Let me now tell you a bit more about some of the Enterprise deals of Q4 that we are particularly excited about. In the fourth quarter, we won a few highly relevant large deals. I would like to highlight 3 of them, all from the U.S. First, we were able to convince a large and well-known U.S. company from the defense sector to introduce our DEX solution and use it across the vast IT landscape. For these customers, the capabilities customers -- the capabilities of our platform for real-time remediation and autonomous endpoint management were the decisive reasons to choose TeamViewer DEX. This equally applies to the second deal with Thrive, a large U.S.-based managed service provider with a growing presence across the globe. They will integrate our DEX solution into their managed services platform to enable better insights and more automation for their customers. They chose TeamViewer as we are a clear leader in the DEX space and in IT support automation and secondly, because of our ServiceNow integration. The last example I would like to highlight is the largest frontline deal in our history. It's one of the world's largest consumer food and beverage producers who will deploy our frontline picking solution across more than 350 warehouses, which also offers great potential for the future. We have been working with these customers on this project for quite some time and are very excited that we were able to close the deal now. Frontline is an integral part of our digital workplace platform as it is very much needed to digitalize physical work environments such as production lines or warehouses. We are a recognized leader in this space and have built a unique and differentiating positioning over the last years with large customers such as DHL, Coca-Cola, Nadro and now this additional win in the U.S. Some of our largest enterprise customers use TeamViewer Frontline to digitalize manual work in industrial settings. All in all, we see that whenever the requirements are complex, when critical processes are affected and real-time operations needed, we are very well positioned as we create very real business value for our customers in these environments. Let me now explain our strategic priorities for the year 2026 and beyond so that you know what to expect from us. We have a clear plan to make TeamViewer even stronger going forward. In this section, our CRO, Mark will also present a few topics. First, let me take a step back and look at what we are seeing in the market. Quite simply, IT is reaching an inflection point. Over the last decade, companies have layered tool upon tool to solve individual problems. The result is a highly complex and fragmented landscape with overlapping solutions, rising operating costs and frustrated users despite very significant investments. Too much time and money are being spent simply just keep the operations running and far too little on true innovation and value creation. At the same time, we are witnessing a secular technology shift with AI. Companies clearly recognize the potential of AI to transform IT operations, automate work and meaningfully improve productivity. But fragmented tools, manual processes and reactive operating models make it difficult to deploy AI at scale. And in many cases, AI even adds the complexity instead of reducing it. Taken together, this IT breaking point and the AI opportunity drives a fundamental market shift. Companies are now demanding simpler, more cost-efficient, AI-powered IT management. They are looking for consolidated platforms that reduce complexity, enable predictive problem solving and support the move towards autonomous operations. So the obvious next question is, who is best positioned to help customers drive this shift from reactive to predictive IT. Doing this well requires several things to come together at the same time. Seamless connectivity across very heterogeneous environments, a high-performing operational engine, proven automation capabilities, a large customer base and increasingly a unique AI advantage built on access to hard-to-get and high-quality data. And this is exactly where TeamViewer differentiates. Our core TeamViewer heritage is built on over 20 years of experience in remote support and connectivity at global scale. And with 1E, we added unmatched and proprietary capabilities for real-time remediation and autonomous endpoint management. Together, this gives us unique broad visibility into devices, applications, performance and user experience, the kind of data foundation that AI actually needs to deliver value. With TeamViewer ONE, we have deliberately unified these capabilities into a single best-of-suite platform, purpose-built to simplify complex IT environments and to drive a shift left towards proactive and predictive operations. It brings together all of TeamViewer's best-of-breed solutions and connects them through a shared data and AI layer. Every AI-powered remote support remediation generates insights that continuously reinforce our DEX-driven self-remediation engine. And that is why we believe TeamViewer is uniquely positioned to shape this market inflection. Our integrated capabilities position us at the very center of the shift towards intelligent consolidated IT operations. Looking at 2026, we have defined 4 key priorities that we will focus on in the coming months and that form building blocks for our transformation journey. We will elaborate on each of them in more details afterwards. Firstly, it is crucial to revitalize the SMB business as well as the performance of the stand-alone DEX business. Secondly, we will continue to invest organically in our market-leading product offering. Thirdly, we will accelerate global sales and go-to-market execution. And while doing all of this, we remain committed to our deleveraging goal of around 2.3x net leverage at the end of this year. We have clear actions in place to reignite revenue growth in 2026 and beyond. The first building block is the turnaround of our SMB business and the reacceleration of the 1E performance, meaning DEX for Enterprise. As we have already mentioned end of last year, we have started initiatives to revitalize the ecosystem of noncommercial users, for example, through avoiding aggressive free-to-paid campaign. Price increases will be tied to clear additional value in the product, for example, bundling our AI capabilities or automations into the remote licenses. We appointed Finn Faldi as Executive VP, Global Inside Sales to strengthen the global sales organization. And on top of that, we have set up sales and customer-facing organizations more efficiently and according to best practices with new sales and AI tech stack to ensure more focus and improved customer retention. This goes together with better onboarding and customer support throughout the entire life cycle to unlock potential and create value. Of course, also TeamViewer ONE will play a key role in retention and upselling strategies and represents a key strategic differentiator against competing RMM products. For 1E and DEX, we've also identified and implemented measures, in general, an enhanced product focus on the core DEX and automation use cases to release features the customers were waiting for. We enabled our global enterprise sales force to sell DEX, and we have improved relationships with long-standing 1E customers through a comprehensive customer success management framework and a structured customer advisory board program. Again, the TeamViewer ONE platform and our AEM proposition play an important role in this context, and Mark and I will elaborate on this in a few minutes. Now let's have a look at our ongoing organic product development. As part of these organic investments, I would like to show you again how we position our product offering in the market. All our different solutions are leaders in their respective space, Tensor and Remote in remote access and support, DEX in digital employee experience and Frontline in the connected workforce space. We will continue to improve them as stand-alone products. Additionally, through the 1E acquisition, we were able to successfully position us at the forefront of the emerging digital workplace and autonomous endpoint management categories, which we will naturally extend into frontline workplaces. With the unique combination of TeamViewer and 1E technology within the TeamViewer ONE platform, we are able to deliver an industry-leading one-stop shop for IT operations and AEM, covering the full spectrum from proactive auto remediation capabilities to remote expert support. Customers across the globe understand and embrace the value of DEX and the strategic road map towards more automation and ultimately autonomous endpoint management. All of this is powered by AI as this is horizontally embedded across the entire product portfolio and at the core of our offering. We will continue to invest organically in AI and develop more agents that can leverage the unique proprietary data we have access to. Our AI products saw good and quick adoption since the introduction of the growing suite of AI-powered features in summer 2025 as well as the announcement of TeamViewer's new intelligent agent, Tia at Microsoft Ignite in November. At the beginning of February, more than 13,000 customers had already opted in for the AI Session Insights feature and had used it to summarize more than 600,000 TeamViewer sessions. To illustrate our unique position in the autonomous endpoint management space, I would like to quickly explain again how the complementary capabilities of DEX and remote access and support work together and strengthen each other. In an ideal scenario, a new and until now unsolved digital friction occurs on one of the devices inside a company's IT landscape. A human expert will now take care and use remote support capabilities to look into the issue. Obviously, the expert will appreciate AI supporting him or her on root cause analysis and remediation of the issue. The session will be captured and automatically summarized by AI to make it available as a foundation for the future and increase intelligence across support operations. At the same time, our DEX technology is constantly analyzing device and system data in real time. This is matched against the DEX insights library with preconfigured automation for frequent issues. Closing the loop, we are able to build new automations out of the previously generated session summaries resulting from expert support. And this loop is constantly increasing the amount of automations across the support operations. Fixing an issue once means it is then fixed forever and can be executed autonomously at scale. With this, I'd like to hand over to Mark, who will talk about TeamViewer ONE as well as our go-to-market strategy.
Mark Banfield: Thanks, Oliver, and a warm welcome from me, too. TeamViewer ONE, as we said 2 weeks ago at our global sales kickoff in Munich is clearly our #1. It's a unified digital workplace platform to enable autonomous IT and endpoint management. It combines all of our leading solutions and capabilities, remote access and support, DEX, RMM, AI at the core, and we are the only vendor who can unify this range of capabilities in a single platform. We will offer it to all our existing as well as all of our new customers across all geographies, all industries and across all customer categories as it is equally compelling for both SMBs, Enterprises as well as managed service providers. It adds enormous value to our customers as it unifies all IT operations under a single platform. This makes it our #1 go-to product, go-to-market product for this year and beyond. Of course, we will continue to sell our stand-alone solutions, but wherever there is a case of TeamViewer ONE, we will go for that as it offers endpoint pricing and therefore, financial upside, but also higher stickiness as we will become much more relevant to our customers. We have the right ingredients, the right products, the right proprietary data, the right customer base and an enabled global sales force to sell this leading solution and win in this space. Only recently in December, we released a major product update to TeamViewer ONE with a very compelling design and user experience. This gave another push to marketing and sales to focus on TeamViewer ONE, and we already see the first results. Now let me wrap up this section by talking about our go-to-market strategy. Our first focus area is to retain and grow customers. We need to set strong focus on churn prevention and work across sales and all customer-facing departments in lockstep. Of course, Enterprise customers need to be treated very differently than SMB ones. But overall, we need to reduce churn and instead drive demonstrable outcomes for our customers, satisfying them and using the momentum for upsell and cross-selling as we migrate them to TeamViewer. As I already outlined on the previous page, TeamViewer ONE is the leading go-to-market product for our sales force. If there is no direct entry point to TeamViewer ONE, we will go with the most suitable stand-alone solution and follow up with a very clear land and expand strategy. For all scenarios, we have developed a very comprehensive global sales playbook, and we have trained our entire sales force on this at the recent global sales kickoff. The third set of measures that will move the needle this year is ruthless prioritization of leading KPIs and a rigorous data-driven approach to decision-making. We will continue tracking and managing our pipeline as well as sales productivity and focus on operational excellence everywhere. This is not rocket science, but gives us a clear path to a strong global market -- global go-to-market execution. With that, I'd like to hand over to Michael for the financial section.
Michael Wilkens: Thank you, Oliver and Mark, and good morning, everyone, from my side. Let's look at TeamViewer full year 2025 results on the next slide, please. In 2025, TeamViewer delivered a solid financial performance with revenue reaching approximately EUR 768 million, reflecting a 5% year-over-year increase in constant currency. This growth was broad-based with all regions contributing. Revenue landed within our guided range, aligned with the FX assumptions communicated at Q3 2025. The annual recurring revenue grew by 2% year-over-year in constant currency to EUR 760 million, meeting the updated guidance range also issued in October. Profitability further strengthened in 2025. Our pro forma adjusted EBITDA rose by 8% year-over-year to around EUR 340 million. We achieved again an industry-leading adjusted EBITDA margin of 44.3%, representing a 2 percentage point improvement versus 2024. Adjusted basic EPS also increased by a strong 17% year-over-year. We also continued to deleverage as planned. The pro forma net leverage ratio improved to 2.6x, down from 2.8x in Q3, fully in line with our targeted trajectory. Now let's look at the details of our Q4 2025 results. Pro forma revenue in Q4 increased by 2% year-over-year in constant currency, reaching approximately EUR 195 million. This performance reflects the continued transformation in the SMB segment and the expected softer revenue contribution from 1E. TeamViewer stand-alone delivered a strong quarter with revenue of EUR 179 million, up 3% year-over-year in constant currency. And the ARR grew by 2% year-over-year in constant currency to EUR 760 million. Profitability remained strong in Q4 with an adjusted EBITDA margin of 45%, underscoring the strength of our business model. Let us continue with our Enterprise business on Slide 22, please. Enterprise continued to deliver strong momentum, reinforcing the resilience of TeamViewer's core business. Enterprise ARR grew by 11% year-over-year in constant currency, reaching EUR 241 million now. As I mentioned earlier, TeamViewer stand-alone Enterprise had an excellent quarter with ARR increasing 90% year-over-year in constant currency. Growth was again broad-based across all regions, supported by a particularly resilient EMEA performance. As Oliver highlighted, the positive trajectory was bolstered by several notable new logo wins in Q4, including the largest TeamViewer frontline deal ever signed, contributing a mid-single-digit million ARR in the quarter. As a result, the new ARR doubled year-over-year in Q4 2025. 1E also showed encouraging progress. Q4 2025 marked a turnaround quarter with sequential ARR growth returning. This momentum was driven by 2 highly strategic DEX, Enterprise wins, together representing a total contract value of approximately EUR 10 million or around EUR 3 million in ARR. Our Enterprise customer base continued to expand, reaching 5,262 customers by the end of the fourth quarter. The pro forma Enterprise ASP increased to around EUR 46,000 per customer, reflecting continued success in delivering higher-value solutions across a growing customer set. The Enterprise net retention rate was 96% in Q4 on a constant currency basis. Adjusted for the upsell from SMB customers during the period, the Enterprise NRR reached 99%. This NRR trend preliminarily reflects a subdued ARR expansion among existing customers, lower SMB to Enterprise upsell and the stand-alone performance of 1E, combined with a higher share of new ARR in the quarter that is, of course, not captured in the NRR calculation. We have implemented measures designed to drive Enterprise NRR above the 100% mark in the midterm. Let us now move to our SMB business on Slide 23. Pro forma SMB revenue reached EUR 131 million in Q4, increasing 1% year-over-year in constant currency. The SMB ARR declined by 1% year-over-year to EUR 519 million. This development was fully in line with internal expectations and reflects 2 key dynamics: continued successful upsell of SMB customers into Enterprise and the deliberate SMB cost correction measures, which we introduced in the third quarter. These measures include discontinuing short-term monetization initiatives and price increases. As outlined in Q3, this strategy is focused on reinvigorating product usage across both the free user ecosystem and the broader SMB base. Encouragingly, the free user ecosystem is already demonstrating early signs of stabilization. The actions taken in Q3 2025 have a negative impact on ARR and the related KPIs shown on this slide. While SMB customer churn increased, value churn remained broadly stable quarter-over-quarter. As we work to revitalize the SMB business and to establish the foundation for sustainable growth, we expect SMB KPIs to remain soft through the first half of 2026. End of 2025, we served approximately 631,000 SMB customers. Our SMB ASP grew by 2% also year-over-year to reach EUR 822, underscoring the resilience of our monetization model. Let us now turn to our cost base on the next slide. For the full year 2025, our pro forma adjusted EBITDA margin was very strong at 44.3%, representing a 2 percentage point improvement compared to 2024. This performance reflects our disciplined cost management even as we continue to invest in growth and innovation across our product portfolio. Overall, pro forma recurring costs remained broadly stable throughout the year. Cost of goods sold increased by 5% year-over-year, driven by our ongoing customer platform investments and by development support for our frontline projects. Sales expenses rose by 8% year-over-year as we expanded our sales force and strengthened our enterprise technology stack to advance our transformation into a fully data-driven sales organization. Marketing costs decreased by 15% year-over-year, primarily due to optimized sponsorship spend. At the same time, we continue to invest in targeted branding initiatives and in the launch of new products. In total, marketing costs represented 13% of revenue, down from 16% in 2024. And as a result, overall sales and marketing efficiency improved meaningfully. In 2026, we will maintain a clear focus on driving further efficiency gains, sharpening our go-to-market execution and scaling data-driven demand generation. R&D expenses increased by 7% year-over-year, reflecting significant investments in product innovation, including our TeamViewer AI offering and the TeamViewer ONE platform. These investments form the foundation of our AEM strategy and position us strongly for future growth. G&A expenses developed in line with revenue, demonstrating consistent cost discipline. Other expenses amounted to around EUR 7 million for the year. Let us now turn to net income and EPS development on the next slide, please. Pro forma adjusted earnings per share was EUR 1.23 in 2025, a strong increase of 17% year-over-year. Our strong profitability and our continued focus on optimizing operating expenses supported this performance. This was partially offset by higher total interest expenses, which amounts to EUR 40 million in 2025, up EUR 22 million year-over-year, which is primarily driven by the financing of the 1E transaction. The FX result reflects negative translation effects related to an intercompany loan as required under IFRS. With this, let's move on to cash flow on Slide 26. In '25, adjusted levered free cash flow amounted to EUR 208 million after adjusting for nonrecurring items. This represents a cash conversion of 61% and demonstrates the continued strength of our underlying business model. Cash flow for the year was influenced by several factors, including moderate top line growth, FX headwinds and higher interest payments related to the 1E acquisition. In addition, cash flow reflected the acquisition-related payments for 1E and the settlement of a legal dispute in the first quarter of 2025. These effects were partly offset by lower tax payments resulting from changes in our tax scheme, which had a positive impact on cash flow in 2025. Looking ahead, we expect cash taxes to increase from 2026 onwards and return to normalized levels despite some positive one-off support because of the 1E deal structure. With that, let me now provide a brief update on our financing on Slide 27. We continued to deleverage in line with our commitments following the 1E acquisition. Our pro forma net leverage ratio improved further to 2.6x, demonstrating our clear focus on balance sheet strength and disciplined capital allocation management. At year-end, cash and cash equivalents amounted to approximately EUR 42 million and net debt was EUR 901 million. As mentioned in Q3, we also successfully refinanced EUR 30 million of the EUR 175 million bridge loan through a private placement, further strengthening our financial position. Looking ahead to 2026, reducing leverage remains our top financial priority. We reiterate our commitment to continued deleveraging and expect to reach a net leverage ratio of around 2 to 3x by year-end in 2026, subject, of course, to FX movements. At the same time, we will continue to invest organically in the areas that matter most, particularly R&D. These investments are essential to drive sustainable long-term growth and continued innovation across our product portfolio and our AEM platform. With that, let me now move on to our full year 2026 guidance and to our midterm targets on the next slide. Turning to our outlook for 2026. We expect another year of disciplined execution and continued operational progress. Our focus remains firmly on driving sustainable profitable growth while advancing our strategic road map. For the full year 2026, we anticipate a constant currency revenue growth in the range of 0% to 3% in full alignment with the lower end of our preliminary outlook for 2026, which we provided already back in October 2025. The guidance reflects the cost correction SMB as well as the seasonal ramp of Enterprise later in the year. Please also note that Q1 will be a soft start into 2026 as we face a few large but fully anticipated one-off churn effects in 1E. These effects are unavoidable, known and confined to Q1. We also expect to deliver another year of strong profitability. We guide our adjusted EBITDA margin again at industry-leading levels of around 43%. This is supported by continued cost discipline, operational efficiencies and the benefits of our increasingly integrated product and platform strategy. At the same time, we will continue to invest in the areas that drive long-term value creation, particularly R&D to capitalize on the significant opportunities in front of us. In addition, we remain fully committed to further deleveraging. As mentioned, we expect to reach a net leverage ratio of around 2.3x by year-end 2026, assuming FX remains stable. Strengthening our balance sheet is one of our core priorities, and we will continue to manage capital allocation with discipline. Finally, for our midterm outlook, we expect a reacceleration of growth into the mid- to high single-digit percentage range. This outlook reflects the inherent strength of our business model, supported by our focus on revenue expansion, consistently strong margins and robust cash flow generation. With that, let me walk you through the details of our '26 guidance and the midterm targets on the next slide. We guide revenue in constant currency, but reported figures will naturally move with FX. To keep the transparency high, we will show the expected quarterly FX impact on revenue growth and separately highlight the FX effect from releasing older deferred revenue to avoid systematic over or underestimation of these impacts. This helps to distinguish true operating performance from currency noise. Based on the 31st of December 2025 spot rates, the FX reduces Q1 2026 growth by 3.1 percentage points and full year 2026 by 2.8 percentage points with U.S. dollar as our largest exposure. Before we hand over back to the operator for Q&A, let me briefly sum up full year '25 and our outlook. 2025 was clearly a challenging year. Yet despite this backdrop, we delivered solid revenue growth and outstanding profitability. At the same time, we made substantial operational progress that strengthens our foundation for sustainable long-term growth. Looking ahead, 2026 will be another transitional year, but with our guidance and the measures already implemented, I'm very confident in our trajectory. We have the right priorities, the right focus and a clear path to unlock the next stage of our performance. With this, I would now like to hand the call back to the operator to open the Q&A.
Operator: [Operator Instructions] The first question comes from the line of George Webb from Morgan Stanley.
George Webb: I want to kick off with a couple of financial questions. I guess the first one, as we think to that FY '26 guidance range on revenues for 0% to 3% in constant currencies compared to that kind of 2% exit ARR growth level, it's quite a wide range on where ARR growth could exit in FY '26. So perhaps could you add a bit more color on how you think about that shape of growth in 2026? You've mentioned, Michael, kind of expect that softer Q1 on the 1E churn factors. If you could also kind of just highlight maybe the size of that 1Q headwind, that would be helpful. And then secondly, around levered free cash flow, you've kind of flagged the EUR 181 million you delivered in FY '25 overall pretty healthy EBITDA development will be quite muted year-over-year in '26. You kind of flagged that EUR 12 million one-off headwind you still had in '25. Are there any kind of other swing factors for free cash flow we should think about in 2026 or your ability to grow that EUR 181 million year-over-year?
Michael Wilkens: Yes. First one on ARR, you're spot on. So the 1E part is in the vicinity of EUR 8 million of churn, more or less the same like in 2024 in Q1, always a tough quarter. But what we need to keep in mind, last year, we had the positive swing against this 1E churn in the SMB space of TeamViewer with price ups and commercial blocker, and this is de facto gone this year as we have the tougher comp. So this is why especially the ARR in Q1 and maybe partially in Q2 will be a little bit muted. But the important part is that ARR by year-end will be significantly higher than last year. So we will grow from there. That's the name of the game. The problem then starts, of course, with the revenue, which is obviously lagging, and this is also why we took the 0% to 3% guidance, which is fully in line with what we did in the earlier outlook. So that was number one. On the cash flow, indeed, a couple of swing factors. First, we are always a little bit prudent in the context also from the EBITDA guidance, you see the around 43%, which is more or less the same as last year. But with the top line range of revenue, then you have de facto the outcome on the EBITDA, which is one very decisive factor. And then there are 2 others. Interest should improve a little bit year-over-year in '26 vis-a-vis '25, rough cut EUR 5 million or so. And we expect a little bit of a positive impact on cash taxes based on the structure of the 1E deal, rough cut EUR 10 million, but that will be de facto balanced with the normal uptick of the normal cash taxes, which is actually a good one to have. So all in all, in the vicinity, cash flow, let's say, again, EUR 190 million to EUR 210 million. So broadly stable in absolute and also in cash conversion terms.
Operator: The next question comes from the line of Victor Cheng from Bank of America.
Hin Fung Cheng: Maybe to start, can you talk a bit about the DEX market? Obviously, there are a lot of industry reports out there showing kind of good growth. But what are you seeing with competitors? Are they maybe slowing down a bit in growth as well? What are you seeing more broadly in that field? And then 2 other quick ones. On the medium-term outlook, you said maintaining the current margins. I suppose that's referring to the 43% for '26. And then lastly, maybe any updates on the metrics for some of the newly launched products like DEX Essentials and Tia? Any updates on kind of usage and momentum there, please?
Michael Wilkens: Yes, Victor, let me take your second one first. You're spot on. It's in context of the 43% out of -- for '26, which we then also confirm for the outer years.
Oliver Steil: Mark, do you want to take the DEX market?
Mark Banfield: Sure. Okay, sure. Look, I think overall, the DEX market continues to show strong tailwinds. I mean it's a growing market. It's -- there's clearly -- there is a movement within the IT market to invest in DEX as the kind of the next sort of platform for end-user computing. Some of our challenges last year, I think we've talked about quite a lot as they were specific challenges around the integration of the businesses. Q4 showed some real highlights actually. I mean the deals were mentioned there by Oliver, a couple of significant wins. These were head-to-head competitive wins and there were many more than that as well. So we're starting to see nice wins, larger wins. We're also starting to see TeamViewer customers start to adopt DEX, which we said at the time of the transaction would take some time to build that pipeline, but we started to see those deals convert in Q4. So I think we feel much better going into 2026. But yes, overall, I think the DEX market is continuing to accelerate.
Oliver Steil: Yes. Maybe I'll take the last question. Metric on new products, obviously important and something we track. Important to say, Victor, that we launched these products all around last year, and it takes time to kind of mobilize -- enable and mobilize the sales force to really take this on and move this forward. And especially on TeamViewer ONE, this is a very new platform approach as we had laid out. So we had to connect different capabilities from 1E and TeamViewer into one place, make the user flow easy, easy onboarding and easy to add, manage devices and the like. So that took a while. That release was only done beginning of December. And what was really good to see that then in December, in the year-end business, we really saw a good number of TeamViewer ONE deals, although we hadn't enabled the whole organization. So that was very positive. Then obviously, year-end cleaning the pipeline and then moving into new year. And then we had the sales kickoff just 10 days ago. Super high excitement across the sales organization inside sales and enterprise. And why is that? TeamViewer ONE is selling and has been selling and is increasing to sale day by day. So there's transactions every day. The proposition lands with customers. Our sellers really feel this is a very competitive proposition, a clear step change compared to what we offered earlier in the marketplace, so confined remote support and some additions with partner products. But now it's really our own product bundle, and we see increase in billings and ARR additions really on a weekly basis. So very exciting. We will come with more color around it as we go through the year for sure. But this is starting to be meaningful on a daily basis really, especially on the TeamViewer ONE side. On AI, focus is on adoption still. As I mentioned, well above 600,000 sessions now have been done, have been used. There's customers opting into this. We will bundle it even more into the product. TeamViewer ONE will be a key catalyst for that because it is a built-in functionality in this product. We will also think about pricing and monetizing throughout the year. So we continue to see very good progression there in line with what we had anticipated when we did the AI webinar.
Operator: We now have a question from the line of Alice Jennings from Barclays.
Alice Jennings: So my first one is just there's a lot of AI-driven headlines in the news at the moment where we're seeing like really rapid innovation and lots of new products in the market. You've mentioned kind of already how you see the competitive environment for DEX specifically. But just wondering more generally, how do you see the competitive environment for endpoint management evolving? And are you seeing kind of any change in customer behavior as a result of these headlines? And then my second question is just on the medium-term guidance. Do -- can you tell us anything about your expectations for when you expect to be in the mid- to high single-digit range? Is this something that's realistic for 2027? Or is this a little bit further down the line?
Oliver Steil: Yes. Let me start with question number one. AI drives the headlines, 100%. I think there's a lot of discussion around how customers' buying behavior will change. Obviously, we see that. As I said already in my presentation, customers want automation. They want to use AI. They want autonomous IT. They want simplicity. They want platform approach. They know that more is possible using AI, and that's why it's so important to build AI into the product range. This is not a stand-alone on the side AI gimmick, if I may say, but it's really a functionality and a capability across the product range. So taking what we see in sessions, learning from it, synthesizing it and making it available in the DEX automation library. That is the key thing which we're building and what customers really expect. We also believe that what you need is access to data, proprietary data, for sure, and we have that. Out of our 630,000 customers, you might call it an unfair advantage because we come there with this massive customer base and the millions of sessions that we're doing every month that we can tap into and leverage to build inside. So that's really important. We also believe what gets lost in the discussion about AI and application software risks is clearly that it depends a lot on the layer you are in. We are an infrastructure piece. We are connecting very heterogeneous environments. We're doing end-to-end solutions at very high security, and this is not easily replicated and being built by AI code in a few days or so. So this is a complex thing. It's touching the heart of operations. It's at the core of our customer, highly security relevant. And that's where we built our experience over the years, and that's why we are so strongly positioned in this because customers take very deliberate choices and what they try and what they not try and how they want to move forward in the use of AI. So we see that as clearly a tailwind for our product and our positioning in the market. Midterm outlook?
Michael Wilkens: Yes. Midterm outlook, let's remind ourselves the distinction between the ARR and the revenues and the revenues, the lagging KPIs. So on ARR, we expect that already to uptick in '27 after '26, which is the first uptake important. But on the revenue, because it's lagging, it's more or less an inch-by-inch kind of thing. So it's mid-single digit and then rather in the outer years, '29, higher single digit. This is how we need to think about it.
Operator: The next question comes from the line of Ben Castillo-Bernaus from BNP Paribas.
Ben Castillo-Bernaus: Firstly, just on the SMB part of the business. I mean could you help us with what might be a realistic outcome here for 2026 if we're exiting at slightly negative ARR growth. We're digesting no price increases, commercial blocker. How can you help us think about that? How do we square that decision to, I guess, stop those campaigns, again, no pricing, we're seeing churn increasing. But presumably, we need to return to some growth here. And if we look at that sort of midterm outlook, in your internal assumptions, what does that SMB business need to do to help underwrite that?
Michael Wilkens: Yes. I can start also with the ingredients. So first, full year versus full year, so minus 1% last year, '25, we expect the same vicinity in the end of '26, so around a minus 1 maybe. So kind of stabilizing in the full year. And indeed, especially Q1 and Q2 will be a little bit under pressure because of the tough comp. And the numbers that we need to climb is EUR 20 million versus last year, price ups and commercial blocker. And this needs a little bit of time. Oliver laid that out, 2nd of December, a strong launch of TeamViewer ONE, and this is firing on all cylinders, basic, advanced and enterprise, but especially basic and advanced are very important ingredients. And whenever we would do price ups, then clearly in a more-for-more logic. So where the customer actually also really gains new product features, new services and then gets the offer of a price up where they can also say, no, thank you. So that's one part of the equation, very important. And the second part of the equation in order to stabilize it throughout the second half of the year is, of course, the expected positive churn impact. Remember, we were faced with churn in the SMB business. And with the stop of the, let's call it, rather unfriendly price ups in commercial blocker, this negative churn effect should wash out over time and customers will come back and will stay, but this is rather expected for the second half of the year. So this gives a little bit of an outlook for '26. You asked also how we think further. So if we stabilize, of course, with the very strong injection of the TeamViewer ONE platform autonomous endpoint management across all business lines, we expect then from '27 onwards, obviously also a slight uptick in growth back in the SMB business. That's more or less the function.
Oliver Steil: Yes. Maybe just to add, if you look at the TeamViewer ONE, it's a very central proposition for SMBs. It's the best of suite offering management platform, as Mark laid out and described. Now when we sell into SMBs, what we see at the moment is with kind of TeamViewer ONE advanced, this is a few thousand euro most of the time as a ticket size. Ultimately, this will be very important to drive SMB growth potentially in a way. But quite often, we also see ticket sizes than EUR 14,000, EUR 15,000, EUR 16,000. So by doing so, the valuable SMB customers move into enterprise in just one go. And that will also determine how much of the growth from TeamViewer ONE will actually land in SMB or in Enterprise. But obviously, we will be very explicit about how this is working because it's fundamentally obviously also a very good thing to move customers into the double-digit or lower teens euro range and have endpoint-based pricing, which is much stickier, much stickier and has more growth potential. So that's what in play here, and that will impact the SMB outcome as well.
Ben Castillo-Bernaus: That's very helpful. Can I just squeeze in a follow-up just around the Enterprise business. You mentioned that the net retention rate, you hope that gets back above 100% over the midterm. I just wondered what's holding that back from happening sort of towards the latter part of 2026, given the new TeamViewer ONE solutions, the 1E integration, the upsell capabilities? What sort of time frame would you consider that to be?
Michael Wilkens: Yes. Clearly, cautiousness. So this is -- this was our learning of 2025, to be a little bit more caution. And then, of course, the tougher situation in Q1 or the muted or softer Q1 index, we need to work against that.
Operator: The next question comes from the line of Deepshikha Agarwal from Goldman Sachs.
Deepshikha Agarwal: This one is more on SMB as in terms of just trying to understand like we have -- you have put out the strategy around like, again, normalizing the price increases, et cetera. So how should we be thinking about how SMB is going to track over the course of FY '26? And more -- like how will that be contributing to that growth improving to mid- to high single digits? So that will be the first one. And second one is more on the cash conversion. Now for this year, it's indicated to be roughly similar to what we saw in FY '25. Once the growth sort of starts picking up better and the margin sort of again, normalizes and it stays at a certain level, how should we be thinking about a more normalized level of cash conversion?
Michael Wilkens: Yes. Let me take the last one first. Cash flow, indeed, stable in relative and absolute terms in '26 over '25. And you should de facto think in the same vicinity also in the outer years, maybe slightly growing the cash conversion from the 60% ranges into 63% or so. But let's talk about that when we get there, once we get there. On the SMB question, I'm not sure whether I just explained that, but let me do that again and then you come with a follow-up question. So Q1, Q2, SMB should be rather more muted, so i.e., negative based on all of the comp and what we explained from -- also from the churn effects. And from that moment onwards, SMB should clearly accelerate and go really back into sequential growth in Q3 and Q4, which then would mean that we are back into kind of stable [ month ] around minus 1% for the full year of '26. So that's the name of the game. With all what is kicking in, with all what we have had innovation features, platform, autonomous endpoint, topics at play, also what Oliver mentioned, from '27 onwards, SMB should be rather in the vicinity of 0, which would be then a slight growth, maybe even 1%. But it's also -- it will be determined also by the higher lower 10,000 range, whether this will be then an accelerated growth into the Enterprise space or whether we will see this in SMB. It's a little bit too early to quote victory yet.
Operator: [Operator Instructions] We now have a question from the line of Gustav Froberg from Berenberg.
Gustav Froberg: Just 2, please. First, around the SMB segment as well, just talking a little bit about churn. I was hoping you could give us a little bit more color as to kind of the continued uptick there, what you think is driving it and how you view competition on the SMB side and maybe also some of the action points that you are implementing to stem that churn? And then second is just on the pipeline for 1E. I'm just wondering if you could talk us through the pipeline there as we head into next year, churn aside and maybe what needs to happen to get customers across the line and signing those deals earlier in the year as opposed to later in the year?
Oliver Steil: Yes. Let me start. So SMB segment churn, as you see, I mean value churn is broadly stable. I mean we've always communicated logo churn, and we're losing customers at the lower end, price-sensitive market in our what we call remote access product, the basic license. If there's not a lot of usage on the product and the user is clearly not a professional user that uses the full reach of our product, it's hard to keep those customers. We are not reducing prices there because we believe they have the premium product, and it's all about usage and adoption. But if the customer is a very occasional user, then it's tough. So that's where we see the logo churn. But we do see a good upsell motion. We have lower churn in the higher segments, and we're improving the product significantly in these higher segments, in these professional segments. And therefore, we do see reasonably and better churn development. Now what we have been suffering from is clearly in this segment, high usage, loyal users, that has been the segment where we had these like-for-like price increases. They didn't land well with customers, and this is washing itself out. So that will be a positive churn impact, plus positive churn impact through new products, cross-sell, stickier products and also the ability to expand our footprint across more managed devices. So whenever we go from seat-based to device-based or endpoint based, there is more upsell potential as you had historically also seen in the Tensor product range. So these are the forces at work there, and that's why we see an improvement in churn coming through driven by, I would say, the bulk of the loyal heavy use customers that get new propositions. On pipeline 1E, Mark, maybe?
Mark Banfield: Yes, absolutely. Yes. I mean generally, pretty strong pipeline going into 2026. We focused heavily last year on enabling all of the sales organization. And it takes some time to enable sellers to become competent on positioning and selling tech, both to new logos as well as going back to existing customers. But we have a good pipeline going into this year. In terms of acceleration, how do we land those deals earlier, a couple of things to mention there. First off, just discipline around sales process, sales methodology. We use a tried and tested sales methodology called MEDDIC. We put this into a very prescriptive sales playbook, which I mentioned in the script there, which was -- which is really designed to enable all sellers to use a very consistent sales methodology, sales process, clear stages, clear gates that we move through and really educating sellers on how to drive value at every stage of the sales process. And so that will help us drive deals quicker. It will help us drive deals to closure quicker. The other thing to mention is we've talked a lot about TeamViewer ONE and quite rightly so because it's absolutely strategically critical for us this year. And we see really great early success with this product set. And that's a product that spans both SMB and Enterprise, very specific sort of a go-to-market approach for both those segments. One of the things that's absolutely critical is if you take the Enterprise space, where traditionally, we go up against head-to-head with traditional DEX players, we are, of course, taking a very differentiated approach now to DEX because we are combining it with TeamViewer Remote. And as Oliver outlined, with the ability to take these Session Insights and turn them into autonomous capabilities at the edge is totally unique. And it's not something anyone else is able to bring to market. And so far, we've seen tremendous traction from going out and talking to customers about it, so much so that it has accelerated already sales cycles and helps us win really. I mean we mentioned some significant wins in Q4. And I think we'll continue to see that trend because it's really setting us apart from the traditional DEX competition and given us a lot of differentiation.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Oliver Steil for any closing remarks.
Oliver Steil: Yes. Thank you, operator. Yes, before we close, maybe a few general comments, important to note. In 2026, I think as you've heard, we have a very clear plan. Yes, last year, we had PMI glitches for sure. Now the organization is very energized. I think everybody internally gets it that we have a very highly innovative product platform, which is also resonating very well with our customers, but also industry analysts. I think we have a very good news flow around what we've put together now, and that's obviously very encouraging. We believe that we are exceptionally well positioned to shape this emerging, call it, super cycle of autonomous IT management. On the back of the capabilities we have, unique capabilities, proprietary data sources and really the massive customer footprint and endpoint footprint and remote session footprint. So we are excited. Clearly, 2026 will be a year of a very focused execution to capture this value, which is ahead of us. But we feel good about it because we do see, as Mark just said, also very encouraging traction already across the business and across the segments. So we look forward to continue speaking to you to update you on the progress. And as always, thank you very much for joining us today. Thank you for your support and partnership.